Operator: Good morning. My name is Therese, and I will be your conference operator today. At this time, I would like to welcome everyone to 2014 CECO Environmental Q1 Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) And also as a reminder, this conference is being recorded for replay purposes. I would like to turn today’s presentation over to your host, Mr. Shawn Severson of The Blueshirt Group, CECO’s Investor Relations firm. Please go ahead sir.
Shawn Severson: Thank you. Good morning, everyone. Thank you for joining us on CECO Environmental’s conference call and webcast to discuss the financial results for the three months ended March 31, 2014. On the call with me today are Jeff Lang, CEO and President and Ed Prajzner, Chief Financial Officer. Jeff and Ed will be reviewing the quarter and will also provide an update on the company’s strategy and outlook. Please note the in addition to traditional reported GAAP earnings, we provide non-GAAP financial measures in our press release today to enable better assessment of the ongoing nature of CECO’s core operations. Jeff Lang’s comments will primarily focus on these non-GAAP financial measures and Ed will address differences between GAAP and non-GAAP financial measures in his remarks. Following our prepared remarks, we will open the call for questions. This call is being webcast and can be accessed at CECO’s website at cecoenviro.com. The webcast will be posted on CECO’s website for replay approximately 2 hours following the end of this call. The replay will stay on the site for an on-demand review over the next several months. Before we begin, I would like to caution investors regarding forward-looking statements. Any statements made in today’s presentation that are not based on historical facts are forward-looking statements. Such statements are based on certain estimates and expectations and are subject to a number of risks and uncertainties. Actual future results may vary materially from those expressed or implied by the forward-looking statements. We encourage you to read the risks described in our SEC filings, including our Annual Report on Form 10-K for the year ended December 31, 2013. Except to the extent required by applicable securities laws, we undertake no obligation to update or publicly revise any of the forward-looking statements that we make here today, whether as a result of new information, future events or otherwise. Today’s presentation will also include references to certain non-GAAP financial measures. We have reconciled the comparable GAAP and non-GAAP numbers in today’s press release. And with that, I would now like to turn it over to Jeff to begin the discussion.
Jeff Lang: Thank you, Shawn. Good morning, everyone. We appreciate your continuing interest in CECO Environmental as we continue to build a world-class company. I will provide some overview and some financial information and Ed our CFO will discuss financial results in much more detail. I will then close with an update and some strategic comments and question and answering session. First, I am excited to report that the CECO Board of Directors approved a 20% increase in the dividend to $0.06 per share today as a result of our team’s continuing focus on improving operating margins and cash flow activities. Now, let’s begin with a few financial highlights for the quarter. Revenues in the quarter increased almost $23 million to $57 million or 66% better than last year’s first quarter. Recent acquisitions contributed $25 million to the quarter. On a consolidated basis, bookings were around $63.6 million for the quarter versus $37 million last year, an increase of roughly 70%. All-in-all, bookings were flat to last year roughly speaking. Book-to-bill was positive greater than 1 by over 11%, which is a very positive signal. Of the $63.6 million of bookings, acquisitions contributed $25 million. Our backlog remains strong reaching roughly $105 million in Q1, up from $76 million a year ago and up from $98 million at the end of Q4 2013. We are excited as we have built backlog in Q1 several projects completions, many projects completions will finish in Q2 and Q3. Note, a few projects actually slipped from Q1 and hope to move into Q2 as is normal with engineered fabrication month-to-month, quarter-to-quarter and so on. Non-GAAP operating income increased $8.3 million for the quarter, up from $4.5 million a year ago. Operating margins on a non-GAAP basis reached 14.5% for the first time in our company’s history as compared to 13.4% a year ago. The operating income and leverage from the CECO and Met-Pro combination is now coming through to the P&L as we have been projecting. 4.5% operating margin is a good start and a good position to be and given the challenging revenue environment for Q1. We are excited about our high operating margin model. We have built in operating leverage for the future and EPS generation capabilities. In summary, we reached record gross profit and record operating margins on a non-GAAP basis, which was a result of our continued focus on high margin revenues, operational excellence, manufacturing optimization and overall lean business process, cost control type of activities. Revenues were lower than we expected in the quarter, which was a result of timing, customer scheduling and delayed project orders as evidenced by our nice backlog growth of $7 million. It would have been nice to get that $7 million processed in Q1, but it is moved into Q2. That being said, we continue to show solid year-over-year growth and progress towards our financial operating metrics, while positioning the company for forward growth. Note, we also had relatively high effective tax rate of 35% in Q1. Many of the observations and consensus was around 27% effective tax rate. In any event, the higher tax rate impacted our EPS coupled with revenues shifting out of Q1 and again lowering the EPS than we anticipated. As we progress through the year, we are expecting a slightly lower effective tax rate on a much higher revenue base. Let me reiterate, we are very focused, the team is very focused and serious around organic growth aspirations and our sales excellence activities. I will now turn the call over to Ed for a more detailed review on our financial results for the quarter.
Ed Prajzner: Thank you, Jeff and good morning everyone. As mentioned earlier I am going to highlight both the GAAP and non-GAAP performance for the quarter. Non-GAAP adjustments include acquisition and integration expenses, the impact of acquisition asset valuation adjustments on the income statement, which results in higher levels of depreciation and amortization and the earn-out payments to the principals awarding. Our non-GAAP financial presentation is intended to provide better trend analysis and assessment of our core business performance. Let’s turn to Q1 now. Revenue in the quarter was $57.2 million, a $22.8 million increase or 66.4% improvement from the same period last year. Recent acquisitions contributed $25.2 million of revenue for the quarter. Note, some of our legacy businesses are now interwoven with the acquired businesses. Gross margin grew to 34.5% from 32.6% in Q1 last year, nearly 200 basis point improvement, and a record high for CECO Environmental. Gross margin dollars grew from $11 million to $20 million in the year-over-year period. Gross margin was also up strongly from 32.4% in the fourth quarter of last year and we expect incremental improvements as we leverage our operating model. Selling and administrative expenses excluding the non-GAAP expenses set forth in our press release today increased $5.1 million to $11.7 million and increased as a percentage of revenue to 20.5% compared to 19.2% in the first quarter last year. On a sequential basis, however, total SG&A dollars on a non-GAAP basis declined from – in Q1 2014 from $13 million in Q4 of last year, which is a reduction of $1.3 million or slightly in excess of 10% in absolute terms. Operating margin was 9.6% in the quarter, down slightly from 9.7% last year. Non-GAAP operating margin adjusted for these items mentioned earlier was 14.5%, up from 13.1% last year. We expect continued improvement in operating margins going forward given our operational excellence and consolidation and simplification initiatives. Net income per diluted share was $0.12 potentially flat with Q1 2013. Non-GAAP net income per diluted share adjusted as previously noted increased to $0.19 for the quarter compared to $0.18 in the prior year period. Non-GAAP net income increased to $5 million in Q1 compared to $3.3 million in the prior period. Now, let’s turn to the balance sheet and cash flows. We paid down $70 million of debt during the quarter. We also sold non-core assets netting approximately 5 million of proceeds during the first quarter. We also have four additional non-core assets facilities being divested, two of which are close to being finalized and we expect to close these in Q2. Outstanding borrowings under our credit facility in term loans, was $82.2 million as of March 31, 2014 compared to $89.1 million at December 31, 2013. Cash and cash equivalents at March 31, ‘14 was $19.2 million versus $22.7 million at year end, a decrease of $3.5 million. As Jeff noted earlier, our effective tax rate was 35% for the quarter consistent with Q1 of ‘13 but higher than we anticipated. We expect the slightly lower effective tax rate as the year progresses, particularly at the U.S. R&D tax credit is extended by Congress for ‘14 as we expect. Before turning the call back over to Jeff, I wanted to mention a few words about our new external reporting segments, which became effective at the beginning of this year. It is important to note that our segment information will not be comparable year-over-year as it will be presented on an as reported not pro forma basis. Nevertheless, to give a sense of scale and relative size, bookings recorded in Q1 were as follows for the new reportable segments. In the year, pollution control segment, we recorded $30.9 million of bookings. In the energy segment, we recorded $17.6 million of bookings. And in the fluid handling and filtration segment, we recorded $15.1 million of bookings. Note that the fluid handling and filtration segment typically carries a smaller percentage of revenue in backlog as compared to the other reporting segments primarily due to the fact this segment has shorter lead times relative to the other segments. Prospectively, we will disclose bookings by segment. And as the year progresses, we may expand our segment related disclosures on the call as necessary. Again, financial measures, i.e., the new reporting segments will not be fully comparable until Q4 of this year, where in the 12-month period we will become – the trailing 12-month period, we will become fully loaded for the acquisitions that took place in 2013. You will see the 2014 financial results by the new reporting segments as well as for each of the quarters in 2013 in the new segment structure in the Form 10-Q to be filed by tomorrow. And with that, I will turn the call back over to Jeff before we open it up to your questions.
Jeff Lang: Thanks, Ed. We are pleased with CECO’s operating margin results in Q1 as we get started into 2014 and continue to grow our backlog and execute on our core objectives including sales excellence, profitable growth and margin expansions. However, we are looking for and expecting more revenue growth as the top priority for the business. We continue to implement on our strategic initiatives and build a great foundation to increase shareholder value in 2014 and beyond. As we discussed in our last call and the call before that, we now have a broader stronger portfolio today than we did a year or two years ago. In addition, we have a substantial platform in which to take our business to higher levels and reach our target aspirations of a $100 million EBITDA company. I would like to take a few moments to update everyone on some of the key initiatives that we are focused on in our three-year plan to create shareholder value and then we will open up for any questions you may have today. First and foremost, sales excellence, we continue to make strides in our sales initiative to grow our business and expand our global market coverage. The team has established the 10 best practices over the past few months for sales excellence for all the teams and all the businesses to boost sales productivity and deliver on our 2014 growth aspirations. Second, operational excellence, everyday we continued to create leaner, smarter, faster processes with continuous improvement and razor-like focus at CECO, which has been the enabler behind increased margins over the past few years. As you can see in Q1, this did continue to drive margins towards our aspirational operating margin goal of 15% and provide a structural disciplined process as we grow revenues going forward. Along with fully loading our core manufacturing plant base and expanding our asset-light fabrication model to enhance margins. Our business has above average operating leverage built into it as you can see and we had a strong operating income quarter on flat revenues. We are expecting – we are excited about what the future income of higher revenues will bring to our shareholders in the future. Third, sales initiative, which was the foundation of the CECO Met-Pro merger, as we move ahead to build and grow the CECO platform it is a critical we create more value and extract even more value out of our strong and diverse air pollution control technology portfolio and our excellent customer base which is growing. We have consolidated our air pollution control products under single focus in order to become a unified front end solution provider to our customers. I believe this will provide us with the growth driver, competitive advantage in the industry in a way for us to capture market share. Our One-CECO air pollution control quotation log is growing to big numbers. We have generated 151 new quotations, incremental quotations as a result of the merger over the past four, five months. Our business and sales focus has been simplified into three core technology areas: One, energy; Two, air pollution control; and three, fluid handling with filtration. Fourthly, under our initiatives is China CECO China continues to evolve as an important factor on our growth strategy. Through April we had strong bookings in the neighborhood of $10 million from China beginning of many strong bookings years. We are exploring every opportunity of growth, products, sales excellence, new resources in-country sales, alliances and JV partnerships along with acquisitions to ensure China is a pillar in our future growth strategy. We have launched new products, new air pollution control products in China. We have added sales engineering resources. We have expanded our manufacturing facility twice and our team is doing very well. Our leadership team in China has positioned us well and I am very excited about the future. Fifth, is growing our reoccurring revenue base. We have well over $3 billion of installed base and we will continue to target this opportunity to expand our presence and grow our business. Today, roughly a third of our business is in the reoccurring nature and we want to grow that to 40% and then to 45% and aspirationally our goal is 50%. As many of you know reoccurring revenues expand our margins, improves the smoothing effect in our business and generates high free cash flow. And we are very excited about that opportunity. We continued to invest in aftermarket sales captains and aftermarket sales engineers in our business to grow aftermarket services. And lastly acquisitions, given our hyper-fragmented markets, we continued to believe the acquisition market is fertile and attractive and a key strategic – and one key strategic opportunity for CECO. We have built a great platform on which to be an industry leader and we will continue to look for attractive, accretive smart acquisitions as one element for a long-term strategy. The One-CECO team has become very efficient at successfully integrating and simplifying acquisitions faster and managing those businesses very well. Our total team has never been stronger as I begin my fifth year at the helm. In conclusion, I would like to say I am very excited about the CECO team, our senior leadership team has never been stronger and our platform for future opportunities to create shareholder value is rock solid. I would now like to open up for any questions you may have.
Operator: Thank you. (Operator Instructions) Your first question comes from Pete Skibitski with Drexel Hamilton.
Pete Skibitski: Good morning guys.
Jeff Lang: Hi Pete. Good morning.
Pete Skibitski: I just want to ask about the strong gross margin, obviously very nice there. It sounds like you guys thinking it can actually rise going forward and I want to get a handle on why you think that, is that you are thinking it incremental pricing power going forward or there is more cost take out or sort of mix change. Can you just give us some color on the gross margin outlook?
Jeff Lang: Sure. Good morning, Pete. First off, for the past few years, we have been very consistent about growing our gross profit and our operating margins, 100 to 150 basis points a year. And as we wrapped up Q4, we messaged the same thing. So, we want to grow gross profit and operating margins, 100 and 150 basis points every year. And we will do that. The whole organization is kind of geared up to improve margins. Now, however, having said that, the most important thing we are focused on right now while expanding our margins is driving higher revenues. So, going through the year, we have some very big aspirations for revenue growth, sales excellence, market expansion. So, as we grow the top line to a more attractive level, you might see a little moderation in that 34%, 35% range. So, we are balancing order intake with our gross profit. So, in summary, Peter, we are focused on growth and I would say you are going to see some nice gross profit and operating margin growth this year versus year. And that’s kind of how we are looking at it.
Pete Skibitski: Okay. One other thing I want to ask you, Jeff, just from my perspective, not being a utility analyst or a power analyst, everything I do read out there about the power utilities seems they are kind of struggling and kind of going through maybe even some fundamental kind of operating changes as you get these rooftop solar systems coming in and whatnot? And I know there is kind of a fairly sizable customer base for you guys. So I am just wondering if you are seeing the same thing with the power utilities, if they are kind of struggling, if that’s impacting your organic revenue or if there is something else going on with other end markets. Anything you could talk about that will be super helpful?
Jeff Lang: Yes. Actually, we are very excited about the energy sector. We have a great team, a great business and an excellent technology. Couple of things, the natural gas business is doing well. We are seeing some nice activity globally on our natural gas turbine activities which is part of the Aarding and EFFOX mission. And our global coal markets are doing well. We are getting business in China on coal activity. Our EFFOX business continues to improve revenues in sales and margins with the traditional coal markets. They have been a leader in North America and they are now focused on growing the China, India and global markets, which Aarding and EFFOX are partnering to do that. So, I envision our energy sector have a good year and continuing for a while. That’s kind of how we are looking at the energy. I hear your comments about solar or wind, those are potential niche markets, but the big gigawatt expansion in the next 20, 30 years of growth is going to be around natural gas and the large degree, coal.
Pete Skibitski: Okay. And just in terms of getting back to organic revenue growth for balance of the year, are you seeing sort of an increase in RFI levels out there and request for informations or RFPs, is that kind of what’s given you confidence?
Jeff Lang: Well, there is a lot of things giving us confidence. First off, we have a great team. Our RFQs are strong. Just last night, I was looking at the One-CECO air pollution control dashboard that was created just to measure new leads generated from the CECO Met-Pro merger. And we are up to 150 new incremental leads and that those are major, major dollars. We just have to close them. Some of those are funded. Some of those are budgeted and plus our focus on sales excellence is as pretty sharp today as it’s ever been. We spent the last few years on operational excellence and now we are returning the battleship towards sales excellence and bringing in more business. We are doing terrific in China. And I think a lot of our markets we are seeing the polysilicon, petrochem, metal plating of the chemical markets doing much better today than perhaps six months ago. So, there is a few things we are excited about to grow revenues, Peter.
Pete Skibitski: Got it. Thanks very much guys.
Jeff Lang: You’re welcome.
Operator: Thank you. Your next question comes from Sean Hannan with Needham & Company.
Sean Hannan: Yes. Thanks. Good morning. Can you hear me?
Jeff Lang: Yes. Hi Sean.
Ed Prajzner: Good morning.
Sean Hannan: Good morning. Hi, how are you?
Jeff Lang: Great.
Sean Hannan: Okay. So a number of question here, so first just from a revenue standpoint I understand you have some of these slips that moved from the first quarter to second quarter, want to address that in a moment. First, organically it looks like you are actually down something closer to about 7% year-over-year is that – is there anything to elaborate on there or is that due entirely to those slips that you would had referenced.
Jeff Lang: I am view bookings is flat…
Sean Hannan: I am talking on a revenue basis.
Jeff Lang: Yes, I am viewing bookings is flat, I am viewing legacy CECO business is flat. But I think if you look at some of the legacy acquisitions which we did only a year ago, we had a little bit of decline. We did have a divestiture in one of those businesses and we saw a slight decline in Aarding in Q1 and a slight decline in Met-Pro in Q1 as well. So – but we are also seeing some of the pruning taking place to shift some of those businesses to a higher margin. So yes there was a little bit of decline in some of the legacy acquisitions. But legacy CECO is flat, bookings are flat and we are not changing our outlook for 2014 Sean. But good point.
Sean Hannan: Okay.
Jeff Lang: Good point.
Sean Hannan: Yes, I think it seems like what probably who reconciles that is really that divestiture there?
Jeff Lang: Yes, that was a piece of it. That was definitely a piece of it. Yes.
Sean Hannan: Okay, and then in terms of the slips I wanted to get a sense how large are these projects, what would they have impacted from a revenue standpoint, should we explicitly size that at $7 million, I think that’s what you may have for this a little bit earlier. And then following on, what is your visibility now into those projects, not sure why they may have slipped and was there any sense that you may have had when you last reported in early March? Thanks.
Jeff Lang: Yes, sure. Fundamentally we are expecting more business. Our annual operating plans suggest more business. Our business unit plan suggests more business. So make no mistake. We are looking for more revenue. Number two, you followed CECO quite a bit Sean, our book to bill is typically around 1 and our book to bill for the quarter was 10% to 12% higher. So the good news is we picked up $7 million of backlog. And typically we are around 1, that’s the good news. The challenging news is I would like to have seen that get digested in Q1 and fall out in the revenues to drive higher margins and EPS for our shareholders. So it is what it is so we are going to digest those and process those in Q2 and go forward. That’s kind of how we are looking at – that’s kind of how we are looking at Q1 and Q2. We can talk about individual jobs a little bit which jobs could have rolled into March, but moved into April. But I think I would like to just leave it at we grew backlogs $7 million and typically we are at 1-to-1 with book-to-bill to around 1. So, we will get that processed in Q2 and driving the revenues forward.
Sean Hannan: Okay. And then from a broader perspective when you think about the current environment when you consider that you had slippage in the first quarter into the second quarter when you also consider that you are not backing off your broader outlook for the year, what is your feel of the demands environment right now. And I certainly appreciate the comments that you have and the momentum within your bookings and backlog, but I feel like we are getting some mix data points and just want to understand kind of a summary view point of the demand environment for you today and how that may have changed? Thanks.
Jeff Lang: Yes, I mean the demand data points are kind of spotty. As you look across the business, some of the traditional businesses are flat. Our quotation activity on the natural gas business is really good. Our quotation activity on the petrochemical and chemical activities, are real strong. And so – but as the data point, our bookings year-to-date April were flat relatively flat. And but we still have aspirations to grow the business. Our China business is up. Our China activity is up. The One-CECO air pollution control sales dashboard that we measured quite frequently to drive as a growth driver is way up and we didn’t have that six months ago and that’s incremental business. So the data point is our mix. We are seeing some nice activity in the polysilicon and the metal plating in the pharmaceutical industry that we didn’t see last year. Our cyclone business which came into this year with a very good backlog saw a little bit of slowness in the refinery and slowness in the some of their end markets, but their quotation logs are strong. So yes, there is some mix data points, but our bookings were flat for the first four months, we picked up about $7 million of backlog and we are doing all we can to bring a nice high quality business and we are maintaining our outlook for 2014 as we talked about a quarter ago.
Sean Hannan: Okay. That’s actually very helpful perspective, Jeff. Then last question here is and I will jump back in the queue. Now you have a new segment breakdown, can you provide a revenue breakdown and color on each of those businesses that you kind of at a segment level?
Jeff Lang: We are going to do that in the future. This was our first segmentation message that Ed put together. You have the bookings for those three segments and you will see more of that in the queue. But going forward, we are going to be providing a lot more color around those three segments. Whatever we do is to bolster and grow organically and inorganically those three excellent technology sectors. And you will be saying more detail around revenue bookings and the like as we go through the year and that was our commitment to everyone about six months ago.
Sean Hannan: Okay, great. Thanks for all the feedback.
Jeff Lang: You’re welcome.
Operator: Thank you. Your next question comes from Rob Stone with Cowen and Company.
Rob Stone: Good morning, Jeff and Ed. Couple of questions, Jeff, you mentioned that your aspiration for the year is the same as the quarter ago, can you just remind folks who might not have those details handy what that is?
Jeff Lang: Sure. Good morning, Rob. We have always messaged we are trying to grow 10% to 15% year-over-year revenue and that’s a mix of organic and inorganic activity and that’s kind of how we are thinking about the year.
Rob Stone: So I think there might have been a $300 million figure out there somewhere is that an explicit or an aspirational operational target?
Jeff Lang: Our next hurdle is to get to $300 million above. Aspirationally that’s what the management team is focused on. Some of that will be organic, perhaps a little inorganic, but we have messaged the past couple of quarters, Rob. Yes, that’s our next aspiration is to reach $300 million. And now if you study a lot of the research analysts, you will see many of them have us at $280 million in revenue and the like, which is probably middle of the road of that 10% to 15% growth. So we are very focused on achieving that.
Rob Stone: Okay. A question for Ed on operating expenses, Jeff already mentioned that gross margins may move up and down a little bit in the sort of 34% to 35% range as you go after more revenue, how much of the OpEx is going to be variable with sales, can you continue to improve the OpEx as a percentage over the next two quarters?
Ed Prajzner: Very small that we believe the – on the SG&A line, we believe we will maintain 19%, I mean it popped up a little higher this quarter with the revenue mix. But the SG&A trend rate is there, we have the synergy savings in there, so we will maintain that under 20%, 19% is very achievable. As Jeff mentioned earlier that the gross margins will be balanced as we grow the top line aggressively, but the SG&A is definitely locked down.
Rob Stone: So thinking about SG&A and in dollar terms and this is on a non-GAAP basis, it was better than we expected and down nicely sequentially, would you expect to be growing non-GAAP SG&A dollars through the rest of the year some with revenue or is this level sustainable?
Jeff Lang: Yes, good point Rob. We focused on that quite meticulously as you pointed out we had around $13 million for Q4 in SG&A and that showed a lot of cost out from the merger. And in Q1 we ended up at $11.7 million which was a very low number. We are going to be in that 19% range. But I also think that 19% was slightly low for a few reasons where that 11.7% was slightly low. So I see is probably in that $12 million range for the year maybe give or take a couple of few points, 12%, 12.1% and...
Rob Stone: Okay.
Jeff Lang: Definitely 19% is our target as revenues grow that number will come down as a percentage that should give you some range.
Rob Stone: A balance sheet question for Ed, if I may you paid down some debt, you had one asset divestiture, there is couple more coming, how should we think about potential debt pay down this quarter and their relative impact on interest expense?
Ed Prajzner: Well, we are on the course, as promised we have the aspiration of getting the debt to EBITDA down to 1 to 1.5 range, we believe that’s very achievable based on the current net debt of about $65 million with our continuing EBITDA contributions and cash flow. We believe we can get down to a very comfortable 1 to 1.25 by the end of the year as planned.
Rob Stone: But the – you mentioned a couple of things that are close to being divested this quarter, roughly how much cash is that going free up?
Ed Prajzner: There will be another few million that is per quarter from the non-core asset sales, in addition to free cash flow that we will be generating.
Rob Stone: Okay. And finally, you mentioned that tax rate was a little higher than expected, do you think it’s going to be lower for the rest of the year, can you be a little more specific on a range of potential tax rate?
Ed Prajzner: Sure. We believe 30%, 29% to 30% would be the aspirational rate, 35% in the quarter was higher for a couple of reasons. One the R&D tax credit has not been renewed by Congress yet, so that’s not rate where it cannot be at until that’s been approved, as well as we had something adverse jurisdictional mix here in Q1. But we believe that 30% would be a good rate to use going forward as we had messaged earlier.
Rob Stone: Okay. My last question is on China can you say how much of revenue China contributed in Q1?
Jeff Lang: We don’t have that in front of us Rob, but that will be out in the Q tonight or tomorrow.
Rob Stone: Great, thank you very much.
Jeff Lang: Yes. Take care, Rob.
Ed Prajzner: Thank you.
Operator: Thank you. Your next question comes from Scott Graham with Jefferies.
Scott Graham: Hi, good morning.
Jeff Lang: Hi, good morning, Scott.
Scott Graham: I was hoping you guys would be able to give us the bookings by the new segments for the last year as well?
Jeff Lang: Yes. We haven’t published that. That will be in the Q, but use we do have that for Q1, but we don’t have that. Yes, don’t have that.
Scott Graham: You are saying, you only have it 1Q, ’14?
Jeff Lang: Correct.
Scott Graham: Okay, that will be in the Q, okay. And so the Q will not have the new segment format, is that what I heard you say?
Ed Prajzner: It will but the Q, the segment in the Q will be on as reported basis, it will not be for format. We only issued performance on a consolidated basis. But the Q will have the new segments being presented for the current year as well as you will have all four quarters of ‘13 being presented in the queue as well in the new segment structure.
Scott Graham: Great, okay. I misunderstood. So and the Q will be out I assume fairly shortly, I assume?
Ed Prajzner: Yes, earlier this March.
Scott Graham: Very good, okay. I wanted to also ask about some of the sales initiatives the dashboard that you are referring to Jeff and in light of the fact this is a new sort of modus operandi for you on sales, kind of what is the next step other than just identifying these 150 plus opportunities. I mean is there training taking place to sort of close the deal kind of thing, what is the experience on that front, I mean because it seems like this is kind of new for some people in terms of having to sort of generate a lead and then input it. So I guess I am just kind of wondering what the next step is with the people that are at the front line and trying to close some of the stuff.
Jeff Lang: Yes, good question, Scott. First off, we have been focusing on sales dashboards for many years across the businesses, most of our business use salesforce.com to manage all sales activity, CRM management and growth opportunities. So we have been focusing on sales dashboards and growth initiatives for a while. What we have started was, knowing that we need a higher number of revenue growth by division. What we did was, we launched a 10 process sales excellence initiative across the divisions and our sales leaders, our sales managers, and our general managers put this to refresh one of best in class companies doing to grow revenues, to manage their sales engineers and to grow their business. We launched that a few months ago. It’s called the CECO Environmental sales excellence, the top 10 sales process guidelines. And every month we train our teams around that. We have also added additional sales engineers and upgraded some sales positions and it’s a priority for us on the sales side. Now, what I was referring to before was given the Met-Pro and CECO merger, we are generating a lot more leads amongst the new technology businesses that we have, but we didn’t have those before. So those new APC sales dashboard is just around incremental leads that we are generating as a result of the merger. That’s a separate sales dashboard, we are calling that’s the One-CECO APC and we are very – we are using that as a growth driver to drive new leads and bring all the air pollution control technology businesses together to sell solutions on a broader base. The good news is, it’s generating a lot of activity and a lot of new quotations. Now we got to work with the sales engineers on sales techniques, consultative selling, solution selling to close those orders.
Scott Graham: Got it. Okay, thank you. I guess my next question is around sort of the organic growth thinking for the rest of the year. I am kind of still working through the impact of acquisitions, I know that you – on first page referred to a couple of acquisitions and their impact, I guess my first question is a – what was the dollar impact of the divesture in the quarter?
Jeff Lang: $1 million.
Scott Graham: $1 million, so I know that there was a previous discussion of that organic being down, but maybe I am just not calculating this correctly, it looks to me like your organic was flat?
Jeff Lang: Right, correct.
Scott Graham: Right, because Aarding and Met-Pro and maybe a little bit of tail from Adwest not even sure of that, those are the two acquisitions that impacted the quarter. So it looks to me like your organic was flat which is a nice change from what we saw last year, do you expect organic sales growth to improve on a year-over-year basis as the – as we progress through the quarters?
Jeff Lang: Yes, we do and all our goals and aspirations in annual operating plans are based on solid organic growth.
Scott Graham: Okay. Thank you. And my last question is regarding the SG&A which was down sequentially, but slower sales, so there is an impact there, could you maybe split out for us what the incremental this sort of if we take out – if we adjust the SG&A for the one-timers, it looks like about $1.4 million decline in dollars, how much of that was synergy?
Jeff Lang: Most, all of it, most all of it was synergy and we are going to see that fallout in the businesses probably 97% of that, 96%, 97% of that was synergy, Scott, from the CECO Met-Pro cost out initiative. So we are around $13 million in Q4. We ended up at $11.7 million so that – and that will continue, so that’s kind of the things we put on with the integration in the (operational) excellence and the consolidation of the main offices into one leaner model and the consolidation of several manufacturing plants into a smaller number of manufacturing plants. So we are pretty proud of that. But now we are turning our sites on organic revenue growth and we are more excited about what kind of operating margins we can generate with another $10 million or $15 million of revenue per quarter following through the P&L, that’s kind of what we are chasing.
Scott Graham: Understood. Thank you. And here is my last question for you. As your end markets split out, I certainly understand the question early on how are the about 25% of your sales, but my calculations have you kind of much bigger in the factory sort of general purpose factory markets, clean air, and what have you. So I guess my question is aside from your sales initiatives, could you talk about what your customers are saying in those markets, was there a weather impact in the first quarter at all, were there any customer closures that may have restrained sales a little bit, but more importantly what is the tone of your customers in those markets, the factory, your basic factory markets?
Jeff Lang: Pretty solid, pretty solid. And we just finished up the management business review and the tone of what we are hearing from our customers which comes through to our general managers and sales managers was pretty solid and relatively upbeat. The one thing that I kind of measure is the general large industrial manufacturing sector showed some nice pick up. Our contract services business showed some nice pick up in the first three or four months of bookings activity versus last year and that’s kind of like the bellwether of North America. That’s my first data point. We are seeing a lot more engagement and a lot more productivity in China, so that’s very important. Our basic traditional power business is doing solidly in the USA, but there is – a lot of their orders are coming in from outside the USA right now. They are maintaining their position in the USA. And then we are seeing our natural gas, turbine plant activity being slightly up from last year in terms of RFQ activity. So those are a few data points and I have been talking with the sales people I am seeing a lot more quotation activity in the wood industry, in the paper industry. And then petrochemical is seeing a nice uptick. So those are the kind of sounds I was hearing from the sales organization and the quotation dashboards.
Scott Graham: It’s very good Jeff. Thank you.
Jeff Lang: Thanks Scott.
Operator: Thank you. Your next question comes from Gerry Sweeney with Boenning.
Gerry Sweeney: Good morning guys.
Jeff Lang: Good morning Gerry.
Gerry Sweeney: Quick question on that $7 million, I think you said slipped in the quarter, was that from the traditional Met-Pro business, I know their product recovery and pollution control business could be a little bit lumpy just was that an area that it was coming from?
Jeff Lang: No Gary that was just across the board. As I kind of messaged before we picked up $7 million of backlog, which is positive because we normally are around 1, book to bill of 1, so it would have been nice to move some of that into Q1, but it is what it is. So that would be across the board that $7 million of backlog growth was across all the businesses and I couldn’t pin it down to one or two.
Gerry Sweeney: Okay. And I also want to focus a little bit on the sales side. You have talked about the CECO sales initiatives or excellence, the 10 points there, but can you give a little bit more detail you – number of sales engineers you guided over the last couple of quarters, where you are at, where your goals are in terms of that, what areas they are going to be and as you bring these guys on there is a ramp time from them coming onboard to accelerating, how does that fit into your projections for this year and into 2015?
Jeff Lang: Yes, sure. Adding sales engineers is something we continually do. And each business has their annual operating plan and there you need the optimal number of sales engineers to achieve your annual operating plan. And so we have a green light in hiring high-quality sales engineers. Many times, you can recruit a very talented sales engineer that hits the deck running. Sometimes, you bring in an application engineer to train for a while to move into sales engineering. And yes, there is a gestation period before they hit the deck – hit full stride and bring in a couple of million dollars of revenue. But it’s a mix. It depends on the recruiting of the talent and the situation, but on average we are pretty excited about the talent we are bringing in to the organization. And we think we have – we are going to add sales capacity this year. In North America, we have done quite a bit in Q1. And we think we have the right number of sales professionals on the field now to achieve our growth strategy.
Gerry Sweeney: Okay. And then staying on the sales side, as you move into the One-CECO’s I guess sales plan and you are looking for orders maybe with combined products and multiple products, does this change the sales dynamic? I mean, does the sales time become longer, I mean obviously the order could be bigger, but those become more complicated? Does it take a longer period of time to hit the sales? How does that affect things?
Jeff Lang: Good question. It doesn’t change the gestation period from quoting to closing. So what it does do, it makes us a very collaborative organization. So we have more people involved in the selling process. We have every Friday morning we have a One-CECO air pollution control sales dashboard call, where many sales people and sales leaders join the call to talk about the strategies, because we are selling multiple technologies into a common solution now, whereas in the past, it was one solution or one product, now it’s multiple product technologies to have a better selling impact with the customer and hopefully expand our margin in the process. I would say it’s adding – we are becoming a better collaborative sales organization on the solution consultative selling basis.
Gerry Sweeney: Okay. And then one other – one more somewhat one-offs noticed the dividend increase, just curious as to why the dividend increase I mean you have talked about having a very fragmented industry? Acquisitions are key to your growth strategy, $400 million market cap company would it be a little bit more prudent to keep some of that money in house for the acquisition front? I am just curious just to some of that the thought process behind it?
Jeff Lang: Sure. It’s a great question. The board does a great job studying these things. And we go through a lot of process in a lot of discussions, but I think number one, our board has a lot of confidence in our future. And what we are doing and what we are doing to drive operating income and free cash flow and our ability to continue that and expand that over the next few years. And number three, we certainly one of our objectives, one of our many objectives is to for shareholder value. So we want to make sure our shareholders are very satisfied with where we have been and where we are going. And then fourthly, $0.01 is given what we are generating in income and operating income $0.01 is around $270,000. And we could digest that reasonably. So – and it was probably a year and a half since we have done anything like this before. So, those are our thoughts and that’s kind of how the board views the dividend increase.
Gerry Sweeney: Okay. I appreciate it. Thanks a lot. That’s all from my end.
Jeff Lang: You’re welcome. Thank you.
Operator: Thank you. (Operator Instructions) Okay. There are no further questions. I would now like to turn the call back over to Jeff Lang.
Jeff Lang: Thank you all for participating in our call today. We appreciate that.
Operator: Ladies and gentlemen, thank you for joining today’s conference. Thank you for your participation. This does conclude the conference. You may now disconnect.